Daniel Wolfe: Good morning, and welcome to 180 Degree Capital Corp.’s Second Quarter 2020 Financial Results Call. And we’ll also discuss 2020 development through the third quarter as well. This is Daniel Wolfe, President and Portfolio Manager of 180 Degree Capital. Kevin Rendino, our Chief Executive Officer and Portfolio Manager, and I would like to welcome you to our call this morning. All participants are currently in a listen-only mode. Following our prepared remarks, we will open the line to questions. [Operator Instructions] I would like to remind participants that this call is being recorded, and we will be referring to a slide deck that we have posted on our Investor Relations website at ir.180degreecapital.com under Financial Results. Please turn to slide 2 that contains our safe harbor statement. This presentation may contain statements of a forward-looking nature relating to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the Company’s current beliefs, and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the Company’s filings with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the Company’s business that could affect 180’s actual results. Except as otherwise required by federal securities laws, 180 Degree Capital Corp. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I would now like to turn the call over to Kevin.
Kevin Rendino: Thanks, Daniel, and good morning. Let’s start with slide 2. If I may, let’s set the table for where we are with regards to our stock, our balance sheet, specifically our cash and liquid securities. As of the close of business last night, our share price closed at $1.89. We had $1.80 per share of gross cash and liquid securities. Giving us full credit for that part of our balance sheet, subtracting $0.05 of liabilities, the remaining per share value ascribed to our private portfolio is $4.5 million or $0.14 a share, against the portfolio that is worth $1.30 per share, or $40 million. That’s a 11.2% effective market value per share on the private portfolio. In other periods where we’ve done the math, on this slide, we were at levels more like 50%. If we sold the portfolio today for $0.20 on the dollar, something we have zero intention of doing, our stock price would be higher. If we sold it for 50%, our share price will be well into the 2s. Just our milestone payments alone for our Petra sale worth more than the Street is giving us credit for the entire portfolio as volume literally is worth 3x the value the private portfolio is being prices. I’d like to think that sum of the parts for TURN itself should lead to a higher share price in last sale as from now on for the quarter. Next slide please? We start on slide 3 with the summary for the quarter where our share price rose 28% or NAV climbed point 27%, and our cash and liquid securities ended June with $44.6 million or $1.45 per share. For the quarter, we generated a 24% return from our public portfolio, led by Franchise Group, Alta, Lantronix and Quantum. We did have two positions that hurt in the quarter. MVEN was hurt by the loss of sports advertising caught by struggles as its business like most restaurant companies came under duress due to the pandemic. Finally, as we discussed a few weeks ago, we were the anchor investor in the recapitalization of Sonim Technologies at $0.75 per share. On the private side, we generated a 30% return, led by the takeover of our private holding, Petra Pharmaceutical. We also want to mandate this quarter to manage $25 million from the portion of a publicly traded companies pension account. We’ve already put some of that money to work and we’ve achieved a nice return so far for the client. While we’re happy with our absolute return to the public holdings, although on a relative basis the returns were mixed. There’s been a significant dichotomy between those of value stocks versus those of growth stocks in the past quarter as investors have been flocking to the scarcity names of those companies that are actually showing growth through the pandemic. I’ll show you a slide highlighting the have, have not market you’re currently living through. Finally, we’re off to an incredible start on the public portfolio this quarter, as we were up 11.7% through July, and literally 25% through August 7th -- or I’m sorry, through last night. Next slide please? Slide 4 shows our NAV history. We had a significant snap back to the $2.70 per share from its $2.12 of value from the March quarter. If you kept our private portfolio flat this quarter, Q3, which is just an assumption, as of last night, our book value is materially higher as of the close, given our public portfolio stocks for the first 40 days of this quarter. On slide 5, this chart shows the stock price discount to our NAV. Despite the fact that we have fixed our balance sheet generating more cash and liquid securities than at any point in the last 3.5 years and despite the fact that we have shown three monetization events of our private portfolio that were done at levels greater than the NAV those positions had before the monetization took place, we still traded only 65% of our book value. Next slide? I think, most of you know by now that we spend the majority of our time focused on micro analysis for the companies we either own or are looking at. That said, we think about the macro each and every day. I wanted to point to a slide that accurately depicts the markets that we’re living through. Let me climb on my soapbox for half a second. While we achieved the 24% gross total return that was mixed relative to the Russell Microcap Index of 30% and the Russell Microcap Value Index of just 23% this quarter. I’ve never seen greater bifurcation in performance for the U.S. stock market. For example, as of the end of July, the Invesco QQQ index, which tracks the NASDAQ 100 is up 26% year-to-date, while the Russell 2000, which tracks mid and small cap stocks, is actually down 10.6%. The Russell 1000 growth index was up 18.3% while the Russell 1000 value index is down 13%. We have seen the same discrepancy against the two indices we use to benchmark our own performance. At the end of July ‘20, the Russell Microcap growth index was up 5.7%, while the microcap value index was down 21.7%. The differing returns are staggering. I mentioned this to serve as factual information for you because as you know, we play in the value sandbox of the market. While it’s completely understandable that investors have gravitated towards those companies least impacted by COVID-19, essentially the large growth companies, the valuation discrepancy has never been so extreme, as shown in the below chart. Us value investors painfully lived through the all or nothing tech bubble back in 2000, I’d never thought I’d see a market like that again. As a matter of relative performance, the current period of draconian outperformance by the QQQ index has led to an even greater disparity of performance between growth and value than the tech bubble, and that’s by a factor of 3. As I said, I understand how we have gotten here given the meltdown of the economy. During periods like this, investors gravitate towards those companies showing growth. But I have also seen how it ends when investors pour money into only a select few companies. If and when this economy moves down the path of sustained recovery, there will be a huge catch up trade for the type of companies we invest in. Next slide please? Our normal source of change in net assets for the quarter are on slide 7. We start with a $2.12 NAV we add $0.27 from our public holdings, $0.34 from our private holdings, have $0.03 of normal operating expenses, and we end up with a $2.70 NAV. On slide 8 is the same chart but for the calendar year 2020 through June 30th. A $0.24 hit from the public holdings, $0.08 hit from the private portfolio, and $0.04 of expenses led to a 11.75% decline of our NAV through the first six months of the year. On slide 9, lastly, this is the same chart, only highlighting the performance since 180 was born in January of 2017. An impressive $0.94 of gains from our public holdings offset by $0.14 of losses from our private holdings and $0.38 of losses from expenses to run the business. Slide 10 is a specific breakdown of performance of our holdings, led by good performances from Alta, Franchise Group and Lantronix, offset by performances as we highlighted earlier from TheMaven and Potbelly. Let’s dig into the specific names on slide 11. On slide 11 you see the names that helped. Franchise Group helped our NAV by $0.13, climbing 160% this quarter. The company provided a business update in May that halted investor fears that the Company was either insolvent and/or at risk of bankruptcy. They provided better than expected guidance on revenues, EBITDA non-GAAP earnings and continued its quarterly dividend of $0.25 per share. We sold 121,537 shares during the quarter at an average price of $25.80 and the stock was up 12% through July 31, 2020. Alta helped by $0.07 on an 82% move this quarter. Alta provided investors with a useful framework to understand the operating leverage in the Company’s business in the face of COVID-19-related impacts. While business was impacted by stay-at-home orders, the lifting of those orders in the second quarter led to a quick recovery in certain markets, specifically the Florida construction related business, and slower, but meaningful recovery for the rest of its businesses. Its warehouse business in Illinois was less impacted. Alta also announced and closed two acquisitions in the quarter, a logistics consulting company in the New York City based focused dealership business. On the next slide, you’ll see Lantronix, which helped our NAV by $0.07. The company reported revenues for its fiscal year Q3 2020, despite supply chain and business disruptions due to the COVID-19 pandemic and they reported record revenues for that quarter. They showed increasing strength in the company’s remote connectivity solutions business, and they continued to add to the senior management team by hiring four Microsemi employees that worked with the CEO, Paul Pickle when he was at Microsemi. Quantum rose 31% in the quarter, which turns out to be a much more muted recovery than the other names we own. The company renegotiated its covenants on outstanding debt that provided increased operating flexibility and reduced investors concern over default risk. Hyperscaler customers return to purchasing, albeit not at the same rate as prior to the December 19th pause. Positives during the quarter were tempered by lower than expected guidance for calendar year quarter two, due primarily to delays in purchasing by the media and entertainment customers. On Slide 13, we see MVEN. Our value is based on a VWAP of at least 1% of the outstanding shares traded and net of additional accrued partial liquidating damages of $276,000 that are due to us. The COVID pandemic and shut down sports, reduced advertising spend and continues to materially impact MVEN’s business. We currently believe the advertising spend hit bottom in mid quarter two and is slowly recovering. Of significant note, we joined the MVEN’s board as an observer during the quarter and we have been spending a ton of time on this one, as we believe while like most advertising companies, it carries greater short-term risks than other companies that are pandemic, we also think MVEN provides the most upside of anything we own. Potbelly cost us $0.04 this quarter. In Q1, the company did an earnings call and gave the impression to investors that the company was headed for bankruptcy. It was a disorganized mess of a conference call. They then had to go back and attempt to clarify its operating position in a subsequent release and presentation. We purchased additional shares for 180 and for our pension account and became the largest reported shareholder of the company at a combined ownership of 8.6%. We filed a 13D on June 29th, noting our ownership and the poor performance of the Company under its CEO, while commending the actions of the board to bring in restaurant experience onto the management team and the Board. A couple weeks later, Potbelly’s board hired a new CEO with deep restaurant experience, Robert Wright, who is the former COO of Wendy’s. This coupled with Steve Cirulis who was hired from Panera, leaves us to conclude that the business is now being run by a fine executive management team. We think our 13D filing helped. On slide 14, we show our performance on a year-to-date basis for each and every public company we have. Franchise Group, Mersana and Adesto lead the way on the upside; Potbelly, Alta and Synacor lead the way on the downside. On slide 15, this shows our stock picking over the entirety of our history. Clearly, more winners than losers and our significant wins, like Adesto, TheStreet and Quantum, called very large, significant starting positions on a percentage of assets. On the next slide, I’ve said this before, you don’t get everything right. And as I said in the past, a successful investor will be right two out of three times. Just make sure that one time you’re wrong, doesn’t outweigh the two times you’re right. Fortunately for us, we’ve limited our losses and we’ve maximized the gains, as you can see on this chart. On slide 17, all in all, the proceedings slides lead to this slide, our performance. As I said, our public holdings performance was mixed this quarter, and we underperformed the Russell Microcap while outperforming Russell Microcap value index. We have a similar story year-to-date through June, beating one index and underperforming the other. Our 1, 3, and inception numbers to-date are also included and that we’re very proud of what we’ve done on that front, significant outperformance. On slide 18, we show this same slide each and every quarter and are making progress towards our eventual goal, having all of our assets in cash and liquid securities. We have more than doubled our weight of cash and liquid securities from 27% when we first started to over half of our balance sheet today. On slide 19, we’ve highlighted this in my previous comments, but we’re off to a roaring start this quarter, and here is some detail on that front. Our public portfolio is up 25% from the end of the quarter through last night, the Russell is up 10% and the Russell Microcap value index is up 9%. Year-to-date, we are now up nearly 7%, which is almost unfathomable, given where we were at the end of the March, but we’re happy and we’ll take it. The largest increases in value have occurred for Potbelly, Quantum, Sonim, Lantronix and Franchise Group. Daniel?
Daniel Wolfe: Thank you, Kevin. Please turn to slides 20 and 21. As Kevin mentioned, during the quarter, we established a new core position in Sonim Technologies, Inc., ticker symbol SONM. Sonim is a communications company that provides rugged cellular phones and accessories specifically designed for workers who are physically engaged in their environments and often in mission-critical roles. These workers are typically in industrial/public sector enterprises operating across the construction, energy, utility, hospitality, logistics, manufacturing, public safety and transportation sectors. We have known Sonim for a long time, having been introduced to the company when it was private and considering a public listing. We passed on investing in the company multiple times, including in its IPO, primarily due to valuation concerns. We are true to our belief that the price we pay relative to the business we buy is the most important driver of investment returns. Between May and September of 2019, Sonim experienced technical and software issues with its devices, experienced significant carrier agreement delays, and grossly mismanaged sales delivery timing. This resulted in significantly reduced revenue guidance of both the top and bottom lines and caused a decline of Sonim stock to $3 from a peak of around $18 per share in June. Sonim began restructuring efforts in September of 2019 following the appointment of a new CEO, Tom Wilkinson; and CFO, Bob Tirva. Forward looking guidance was suspended as the restructuring efforts began and stock trended below $1 per share. Prior to joining 180, Kevin ran fund called RGJ Capital, where he was a significant shareholder in a company called XPLORE Technologies, which was led by Tom Wilkinson, the new CEO Sonim. Under Tom’s leadership, XPLORE’s business was dramatically improved and the company was ultimately acquired. 180 has confidence in Tom’s abilities as an executive to engineer a similar turnaround at Sonim. One of Sonim’s first priorities was to clean up its balance sheet. SONM’s outstanding loans created substantial uncertainty as to the viability of the current business and prevented the company from investing in next-generation mobile devices and connectivity platforms. We believed that the removal of this debt overhang coupled with a cash infusion to fund development of future product lines could unlock value in the near term and allow management to focus on long-term value creation. This past quarter, 180 anchored a public offering of 36.8 million common shares at $0.75 per share that raised gross proceeds of $27.6 million. An additional 8.3 million shares were issued in exchange for conversion of 60% of the outstanding debt and $4 million was repaid in cash. Sonim now has a clean balance sheet with no debt and substantial capital resources to fund development of its next-generation devices. 180’s investment at $0.75 per share equated to an enterprise value to trailing revenues of less than 0.2 times. XPLORE, a good comparable publicly traded company, was acquired at approximately 1 times enterprise value to trailing revenues. First responder connectivity has become increasingly important as the COVID-19 pandemic, as well as other domestic and global events, place additional importance on connectivity in all environments. This secular trend could provide meaningful growth opportunities for Sonim. Just to note, yesterday Sonim’s closed at $1.09 share, $0.45 increase from our cost basis. Please turn to slide 22. This slide lists our 10 largest legacy privately held holdings by value as of the end of the quarter. For the quarter, our private portfolio increased in value by approximately $10.6 million, or $0.34 per share. The increase in value was led Petra, with additional contributions from EchoPixel and ORIG3N. These increases in value were offset in part by the decrease in Lodo Therapeutics Corporation. Last quarter, a number of our private portfolio companies were adversely impacted by the COVID-19 pandemic. While many of these companies have recovered in part or in full from such impacts, it remains uncertain if negative impacts to value will return in future quarters. We also noted that certain of our privately held companies were well positioned to provide valuable diagnostic and monitoring capabilities that could lead to material growth for those companies. For example, in April 2020, ORIG3N received an Emergency Use Authorization from the Food and Drug Administration for its novel COVID-19 test. ORIG3N’s high-throughput automated test capabilities have generated meaningful growth to the company as it addresses this ever-increasing market need. In last quarter’s shareholder letter we stated that, while we desire -- that we desire to shepherd our existing private portfolio to exits or explore opportunities to sell our positions in those companies, we have the luxury of being able to sell our private holdings when we believe it makes sense for shareholders rather than being forced to do so to survive. The remaking of our business and the significant cash and securities of publicly traded portfolio companies that we have grown mean we don’t have to sell anything. This ability allowed us to benefit from the acquisition of Petra by an undisclosed party in Q2 2020, and possibly other liquidity events in the future. As a refresher on the Petra acquisition, the acquiring company and the terms of the deal are confidential, so we can only speak to what 180 received from the transaction. We received approximately $4.4 million in cash at closing. In addition, we received another $305,000 in cash from 180’s ownership in an entity affiliated with Petra, called Accelerator IV-New York. Also, approximately $350,000 will be held in escrow for one year from the date of closing. 180 is also eligible, through its ownership in the acquired company and the affiliated entity, Accelerator, to receive up to approximately $86.9 million in potential future payments upon the achievement of undisclosed development and commercial milestones. 180 currently estimates that the first milestone payment could occur in approximately 2 to 3 years, and subsequent milestone payments could occur at various points in time over the subsequent 10 to 20 years. The timing and likelihood of the acquirer achieving these milestones is highly uncertain, and if these milestones are achieved, the timing may be materially different than current estimates. These factors were used to develop a fair market value based on a probability net present value analysis of the potential future milestone payments of approximately $6.4 million. We note that successful completion of the first milestone alone would result in payment of approximately $6.8 million to 180. Lastly, simultaneous with the close of the transaction, Petra spun out certain assets into a new company. We own shares of this new company, Revanna Pharmaceuticals, Inc. Overall, we are more confident in the potential for our current privately held portfolio in aggregate to generate future returns than we were when we started three and a half years ago, and even at the beginning of 2020. Why is that? You might ask? When we started 180, our private portfolio was comprised of 31 positions valued greater than zero. Today, we have 18 positions valued greater than zero, most of which remain in the portfolio because they have demonstrated staying power and the ability to secure capital from other investors. At the end of 2016, our top 10 investments accounted for $42.7 million, or 79% of the total value of the private portfolio with three positions valued at more than $6.5 million. We sold one of these positions HZO for $7 million in 2018. AgBiome has increased in value to $13.2 million. D-Wave has not performed and its value has dropped materially in Q1 2021 to $1.2 million from almost $10 million at the end of 2016. Today, our top 10 investments by value accounted for $36.8 million or 91% on the total value of our private portfolio. Aside from the fair value of potential future milestone payments with the sales pressure of approximately $6 million, we only have one private portfolio company valued at more than $3.1 million and that’s AgBiome. The write-downs of many of our private portfolio holdings in Q1 2020 coupled with the attrition of other companies in the portfolio -- private companies in the portfolio, even through sale, IPO and liquidation have materially reduced overall risk in the private portfolio. That’s not to say that there will not be future write-downs, or write-offs of some of -- our current position in the future, we expect that there will be but the impacts of these negative events as they occur, would, on balance, impact NAV to a lesser extent than they would have in the past. On the flip side, we believe there could be opportunity for materially positive impacts to NAV from successful exits by Petra, should they occur. As mentioned previously, we now have a balance sheet that allows us to see our portfolio through to its natural end, rather than being forced to sell positions and survive. We’re not making any promises with regards to the product portfolio. We’re just stating our belief that it has been materially de-risked as compared with prior periods and particularly when we started at 180. As Kevin mentioned earlier, we believe our current stock price does not accurately reflect the status of our product portfolio, particularly when take into account this information. Please turn to slide 23. As we’ve noted in previous letters, we have dramatically reduced our cost structure under our new strategy. In 2016, before our Fund’s change in investment focus and management team, our operating expenses, excluding stock-based compensation and interest on outstanding debt, averaged approximately $1.3 million a quarter. For Q2 2020, our operating expenses equaled approximately $893,000, a 17% increase from a year ago. A material portion of this increase was directly related to the legal expenses incurred with registering as a Registered Investment Adviser and other start-up costs associated with our separate account for a portion of a publicly traded company’s pension fund. I remind shareholders that our Q1 2020 expenses include a reversal of the deferred portion of the 2019 bonus of approximately $317,000. This deferred portion of the 2019 bonus was not reinstituted as of the end of Q2. But we know that this deferred bonus could be reinstituted in future quarter at the discretion of the compensation committee of our Board of Directors. Please turn to slide 24 and 25. We continue to anticipate that reductions in our operating expenses as a percentage of net assets will be based on growth in our net assets rather than further reductions in our expenses. The positive events in Q3 2020 discussed previously, if they hold throughout the quarter and year, will help reduce the expense ratios as of the next quarter and as of the end of the year. We remain committed to treat every dollar shareholder money with the utmost care and consideration. As we’ve stated, often, it is much easier for us to grow NAV when our expense hurdle rate is where it is today. I’ll now turn the call back over to Kevin.
Kevin Rendino: Thanks Daniel. It’s been a crazy year. I’m happy we’re up year to date. Although I fully recognize this world can turn ugly based on a number of factors, the pandemic being the greatest concern. And now, we’re moving to the forefront of the U.S. election and we expect extreme volatility around that event. Smooth challenge doesn’t seem to be in the forecast. We will just focus on finding value doing the work in individual names. And when the time and the value are there, just like they were with Sonim this quarter, we’ll make concentrated investment decisions. Daniel, why don’t we open up for Q&A?
Daniel Wolfe: So Brandon, [ph] please go ahead.
Unidentified Analyst: Looking at D-Wave, I haven’t looked at the private portfolio in a while. When was that marked down? I mean, we saw it was under 2 million. And at one point recently, I don’t last year, the year before substantially higher. What was the materially event that caused that caused that big markdown in D-Wave?
Kevin Rendino: It was marked down last quarter, Daniel, if you want to get into the specifics?
Daniel Wolfe: Sure. It was last quarter that the markdown occurred and it was directly related to a financing event that re-priced the company as well as -- and you may have noticed if you look in the financial statements as well, as part of that restructuring, the company did restructure the securities that were outstanding, collapsed everything into one, put one preferred share class and changed its name from a holding company perspective to DWSI Holdings, but it still does business under D-Wave Systems, but is all related to a financing event.
Unidentified Analyst: Okay. So, it was recently, last quarter then. I just hadn’t noticed it before.
Daniel Wolfe: That’s correct.
Unidentified Analyst: All right. Thank you.
Daniel Wolfe: No problem.
Kevin Rendino: Thanks, Brandon.
Daniel Wolfe: Please go ahead.
Unidentified Analyst: Yes. Good morning. The $25 million you’re managing, has that been put to work? And if so, has it been put to some of the similar situations you’re involved in? And how large do you expect to raise that $25 million to?
Kevin Rendino: Nice to hear from you, Sam. I hope you’re staying healthy. Yes, we received the money. Yes, we put about 40% of the assets to work. We’ve actually generated approximately 15% return since we started in the middle of June. So, we’re quite pleased with how disciplined we’ve been about investing the assets and obviously the returns that we’ve gotten from those assets. And it’s an important note in terms of how we think about managing money. We don’t just get the money and put the money to work day one. This is a concentrated portfolio process. And if we don’t have a good idea, we’re not going to force the money into the market just because we have it. And that will be the same for the new fund that we’ll be managing. And that, it’ll be almost a call to capital model where, let’s say we raise $100 million, Sam. We’re not going to put the $100 million to work. We’re only going to put the money to work when we have an idea. That’s how I wanted to raise -- to manage money ever since I left BlackRock. I don’t want to just force the money into the market. I think, that’s how investors goal arrive. And that they do really, really well, the money comes in, usually at the peak, they put it into the marketplace, and then the returns get muted. We’re only going to put the money to work when we have good idea. And how much do we expect to raise on top of that? I don’t know. I mean, I’d like to think that we have the capacity to raise $100 million to $200 million on top of the balance sheet that we have, plus the $25 million. We just got started on that process. I guess, we’re -- even though I’ve been around for 30 years, I guess we’re kind of new to the rest of the world. And some folks are going to have to get comfortable with how we think about investing, and they’re going to want to follow us and watch our performance. And you know, the way that all works. So, we’re hopeful, we’re optimistic, but we think we’ve done a good job for people. And we think that we’ll take care of people’s assets if and when they show us the confidence to let us manage the money. So, we’re optimistic about being able to raise more money on top of the 25, Sam.
Unidentified Analyst: And at this point, have you -- have you invested in the similar ideas or same stocks for the $25 million, as you’ve done for 180 Degree?
Kevin Rendino: Yes. If we -- so for Sonim for example, it was a side by side investment, a portion of that money of our investment came from 180’s balance sheet. And then next to that was a significant investment for the pension fund. There are times where 180 doesn’t have as much cash, let’s say as, when you get new money in. So, there’s a couple of new ideas that have gone into the pension fund that haven’t gone into 180. But, that’s only because we’re fully invested or have been fully invested on 180. But if the cash is there for both funds, you should think that will have the same exact weight of a certain position for each of the funds. So, there may be some different names here and there, but all-in-all, the performance should look fairly similar, as you go through time.
Unidentified Analyst: Sounds good and keep up doing what you’re doing. And then, the $25 million will grow. Good luck.
Kevin Rendino: I hope so, Sam. Thanks a lot.
Daniel Wolfe: Hi, Tom. Go ahead.
Unidentified Analyst: Hi, Daniel. Good morning. Thanks again for the update. You guys continued to deliver on your approach and you’ve been consistent. So, I appreciate the follow-through and doing what you’re doing. So, congratulations on that. A follow-up to the Petra sale. How much as -- pennies on the NAV or whatever measurement you might have or the milestone payments. So, is there any part of your current 270 NAV that you put out that is the milestone payments from the Petra sale?
Daniel Wolfe: So, Tom -- so, yes, it is. So, we do have to fair value those potential milestone payments. As I mentioned, there’s the potential for about $86.9 million of future payments over admittedly a really long period of time. The first one potentially could occur we estimate currently in about two to three years. It could be slower -- it could be faster, could be shorter or could be longer, but that’s our approximate at the moment. We currently fair value all of those milestone payments, that stream of 86.4 -- of $86.9 million at approximately $6.4 million currently.
Kevin Rendino: So, Tom, what I’d say on that is, you got to haircut your views on the likelihood of those milestone payments taking place. Although I will say the following, I said it earlier. The market is basically paying us for -- if you give us full credit for our cash and liquidate securities, literally $1.80 per share last night. The market was paying us $4 million for $40 million in assets. There’s one milestone payment, the first one is a significant one. And it’s barely based on -- the likelihood of that one happening is greater than 50%. I think we probably have it at 75%; in reality, it’s probably 99%. I don’t know why the acquiring drug company would have bought this business if they didn’t intend on bringing the drug to trial. And that’s kind of what the first one is based on in generic terms. And that alone is greater than the -- what the market is paying us for the entire portfolio. The whole thing is absurd. I understand it, I get it. But, I’d like to think that over the course of the last three and a half years, we’ve shown that from time to time, many of our holdings not only get monetized, but they get monetized at a greater than the NAV we had them on our balance sheet for. So, we’ll see where that goes. There’s also another -- there’s a world out there folks that like to buy royalty streams or milestones. So, we may look to market that. I think we will look to market that. And like everything else, if someone’s willing to pay us a fair price, it’s not who we are, what we want to be anymore. Obviously, our goal is to be -- we invest in public companies, that’s what 180 is with the private portfolio history. So, somebody wants to pass their price, we’ll sell it; if somebody wants to come in and offer and offer us a stupid price, we’ll tell them go take a walk. And that’s the beauty of what we’ve done over the last three and a half years as we don’t need to sell anything. And when, I first got here four years ago, we had to almost sell out anything that we could to get more cash on our balance sheet and overcome the high operating expenses we have. So, we feel good about that royalty payment stream, and we think it’s worth more than what the market payments for the entire portfolio, which we think is, as I said absurd to begin with. But, we’ll see how it plays out. It’s just the royalty stream. And you have to hit certain milestones to get paid on it.
Unidentified Analyst: So, is that $6.4 million and the $40 million portion of the private portfolio valued at the end of June?
Kevin Rendino: Yes.
Daniel Wolfe: It is.
Unidentified Analyst: Okay. So, is it about $0.21 on the NAV?
Kevin Rendino: Correct. 31.1 million shares outstanding.
Unidentified Analyst: Yes. Okay, just double checking. All right, great. Thank you, guys.
Kevin Rendino: All right.
Daniel Wolfe: Thanks, Tom. Hi, Austin. Please go ahead.
Unidentified Analyst: Yes. I had a question on the three of the private portfolio -- you may not be able to answer any question on them. But, do you have any information public of some sort on Nanosys, D-Wave. I know you talked about just a minute ago, their reformation or something. But, about their operations and what’s going on there, and the biggest holding of those AgBiome at all?
Kevin Rendino: So, Daniel, why don’t you provide some color on those holdings as best you can.
Daniel Wolfe: Absolutely. So, Austin, thanks for the question. So, I think first is, to your point, I mean, we are governors of confidentiality provisions. And so, there’s -- we are limited in the detail that we can go into. But, in terms of publicly available information, which can, I think I’ll start with AgBiome. Yes, AgBiome launched one of their first products this year called Howler. It is available on a variety of different websites. And if you unique biologics or pest control that is applicable in both turf and ornamental spaces. So, long maintenance golf courses, but also in the farming and other general opportunities where there’s certain paths that it goes after this pretty tough to manage. And this product actually does an extremely good job. So, first product on the market. It’s great, came to market and got EPA approvals faster than I think any other product that was launched, a testament to their approach and what they’re bringing to market. They have a variety of other brands that they own, that are both -- that are chemicals that are on the market as well, without their first biologic, and then they combine those chemicals with biologics to produce an even better product and extend patent lives and a variety of interesting growth opportunities for the company. They did also sign a deal with Genective that was announced at the end of last year. They signed a couple of other deals as well. So, company is doing well. I think, they’re entering into that commercial phase of development, which is exciting, as well as working and securing additional opportunities and partnerships with large companies. Nanosys, so, interesting trend that I think is out there, it’s out there publicly and you can see it is that OLED -- or I said that the OLED -- QLED they’re called, quantum dot LED televisions are selling really well. And in fact, during the pandemic, now that you have a lot of people obviously at home, television sales, especially high-end television sales have increased year-over-year versus decreased. And a lot of that is due to just everybody’s home. And now they can think about -- and they use their televisions more, so they can think about that they want to upgrade. And so, it’s actually counterintuitive. And so, the company is actually doing fairly well. They actually just also announced a partnership with a large chemical company in Japan, which will help distribution of their products within the television manufacturing market. So, generally bullish on the trends, a caveat that with the company has been around since 2001. It is almost an age allowed to drink. It’s allowed to vote. It’s allowed to go C and R rated movie. It’s -- and so, when it hit that growth escape velocity of revenue growth? I don’t know. But it’s been able to sustain itself. And the question now is, can they transition from a stable business to a growth business? And that’s what we’re waiting to see. And hopefully, it’s sooner rather than later, given how long this company’s been around. And lastly, with D-Wave, I think, you can see the announcements that have come out publicly earlier this year. Alan Baratz took over as CEO. He’s a very successful person within the software and computing industry, really impressive guy. So, very bullish on his -- the opportunity and the skill sets that he brings to the company to lead it to the next level. But, it’s been tough. Fundraising’s been very difficult, sales have been difficult, they’ve transitioned to a cloud computing model, which I think is the model going forward that they’re going to need to use to grow. But, it has not been an easy transition and obviously has resulted in a material decrease in value, partially due to the COVID impacts. There were some other impacts, geopolitical impacts that caused -- made fundraising more difficult as well. But, at the end of the day, they weren’t able to raise capital at a -- and maintain or increase their valuation. And unfortunately, it’s come down. Now, it’s been de-risked from a value perspective on our balance sheet, which I think we feel very more comfortable with. But, it’s unfortunate obviously, given the prior valuation and prior -- around the financing and prices of those at which those occurred.
Unidentified Analyst: Thank you.
Kevin Rendino: That one actually may be ineligible for social security at some point. I think that company started in 1999, Daniel. Is that right?
Daniel Wolfe: You are correct. That’s a very good point.
Kevin Rendino: So, we’ll see. You never know when you get paid. It’s like we never know -- we honestly had no clue that Petra was going to get taken out. And it comes when it comes. So, as Dan just said, we think we like to think that we derisk the portfolio to a point where many of these companies have sustained themselves for a reason. It’s because there’s actually a business there that people still want to invest in. I mean, we’ll have the opportunities to monetize more of our names. We’ve got some names in there that are certainly doing well because of COVID and diagnostic testing. And we’ll see where that goes. And then, maybe you can have a monetization event around that from some of our holdings. So, we’ll see. We feel -- I feel better about the portfolio today than when I first got here in the middle of ‘16.
Daniel Wolfe: Thanks, Austin. Hi, Brandon. Go ahead.
Unidentified Analyst: Just confirming what I saw in the slides. Your current NAV as of yesterday, it looks like you updated the slide as of August 10. It’s 305, 274 plus it looks like 35 in the public portfolio appreciation from June 30. Is that a true statement, 305 NAV right now?
Kevin Rendino: So, there is two assumptions in there. One, we give people that information so that they have sense to do the math, like you just did. The two assumptions are, one, our private portfolio is flat. And, we don’t know that today, we always look at that at the end of quarter. So, make the assumption of private portfolio is flat. We got to take out a couple cents of operating expenses, maybe another penny for reversal of an accrual we’ll see. But, your math is dead on.
Unidentified Analyst: Okay. So, you’re about where you were, NAV wise, on Dec 31st.
Kevin Rendino: I’m sorry, I was talking over you. What did you say?
Unidentified Analyst: Sorry. So, I think your NAV on Dec 31 ‘19 was 306, correct?
Kevin Rendino: Yes. We’re close to being -- right. As of last night if we were an open end mutual fund, we’d be right around that number with again -- private portfolio is why they got some expenses.
Unidentified Analyst: All right. Thank you.
Kevin Rendino: And I still see a $1 stock price. So, I guess, when they level, Daniel, we’ll be back at it.
Daniel Wolfe: Yes, excellent. If you have any further questions, please press star 6 on your phone. It looks like the queue is complete.
Kevin Rendino: Well, thanks everyone. It’s been a wild year and unsettling times, and certainly volatile. We appreciate your interest in us. If you know where to find us, either by email or phone, at any given point in time, we’re more than happy to talk about what we’re doing, where we’re going, what our thoughts are on our individual names or on the markets. We hope that everyone stays safe and healthy and we look forward to reporting to you on our Q3 results sometime in November.
Daniel Wolfe: Thank you, everyone. You can now disconnect.
Operator: Good bye.